Operator: Ladies and gentlemen, thank you for standing-by. Welcome to the Public Service Enterprise Group Fourth Quarter and Year-End 2007 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session for members of the financial community. [Operator Instructions] As a reminder, this conference is being recorded Friday, February 1st, 2008; and will be available for telephone replay beginning at 1:00 PM Eastern today until 1:00 PM Eastern on February 8, 2008. It will also be available as an audio webcast on PSEG's corporate website, at www.pseg.com. I would now like to turn the conference over to Kathleen Lally, Vice President of Investor Relations. Please go ahead.
Kathleen A. Lally - Vice President, Investor Relations: Thank you very much. Good morning, everyone. Thank you for participating in our earnings conference call this morning. I just want to go over some of the regulatory requirements. We released our fourth quarter 2007 and full year 2007 earnings statement this morning. In case you have not seen them, or received a copy, the release and the associated accounting attachments are posted on our website, www.pseg.com, under the Investor section. We have also posted a series of slides that detail the operating results for the quarter. We expect to file our full year 2007 10-K at the end of February. So let me just briefly review our disclaimer statement with regard to our earnings guidance before turning the call over to Ralph Izzo and Tom O'Flynn. Should be aware that the statements contained in this communication about our and our subsidiary's future performance including, without limitations, future revenues, earnings, strategies, prospects, and all other statements that are not purely historical, are forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Although we believe that our expectations are based on information currently available and on reasonable assumptions, we can give no assurance they will be achieved. There are a number of risks and uncertainties that could cause actual results to differ materially from the forward-looking statements made herein. A discussion of some of these risks and uncertainties is contained in our Annual Report on Form 10-K and subsequent reports on Form 10-Q and Form 8-K filed with the Securities and Exchange Commission and available on our website. These documents address and further detail our business, industry issues and other factors that could cause actual results to differ materially from those indicated in this communication. In addition, any forward-looking statements included herein represent our estimates only as of today and should not be relied upon as representing our estimates as of any subsequent date. While we may elect to update forward-looking statements from time-to-time, we specifically disclaim any obligation to do so, even if our estimates change, unless otherwise required. In the body of our earnings release, you will see that we provided a table that reconciles net income to operating earnings. We believe this format improves the readability of the release and provides the required reconciliation between the GAAP terms, net income and income from continuing operations to the non-GAAP term, operating earnings. The attachments with the press release provide the reconciliation to each of our major businesses. Operating earnings exclude the net impact of certain asset sales during the periods presented. Operating earnings is our standard for comparing results for all of our businesses. We exclude such costs that we can better compare our current period results with prior or future periods. Thank you. And with that, I would now like to turn the call over to Ralph Izzo and Tom O'Flynn. At the conclusion of their remarks, there will be time for your questions. We ask that you limit yourself to one question and one follow-up.
Ralph Izzo - Chairman, President and Chief Executive Officer: Thank you, Kathleen. Good morning. I join Kathleen and add my thank you for participating in our earnings call this morning. We have excellent news to report. The very strong results for the fourth quarter of 2007 closed out an exceptional year for PSEG. Operating earnings for the fourth quarter of '07 increased to $1.09 per share from $0.54 per share reported for the fourth quarter one year ago. This brought operating earnings for the full year 2007 to $5.41 per share from $3.45 per share. If the $3.45 number isn't familiar, it's because we've taken the results for '06 and restated them to reflect discontinued operations. Our operating earnings for 2007 were at the upper end of our guidance, despite excluding those operating earnings... despite excluding some earnings businesses such as SAESA that are being accounted for as discontinued operations given our plans to sell. The results for the quarter and the year were driven by PSEG Power and PSE&G. In addition to our strong earnings performance, 2007 was a year of many, many accomplishments. We resumed independent operation of our nuclear facilities. We reduced international lists with the sale of a majority of our Latin American assets. We improved the balance sheet with the substantial reduction and debt as apparent and subsidiary companies. We kept our focus on operations and reliability, as evidenced by PSE&G winning the Mid-Atlantic Reliability One Award for the sixth year in a row. We initiated several programs to improve the operating efficiency of our equipment with an eye toward reducing our carbon emissions. We have expanded our efforts to craft solutions to State of New Jersey's energy requirements. We committed to expanding our transmission system. And we are looking to invest in new generating capacity. These efforts have required tremendous focus on the part of PSEG employees as we also underwent a successful re-staffing of our organization. In short, we solidified our operations, delivered on our financial promises, and greatly reduced the market and financial risks, thereby positioning ourselves for a bright future. Our results for 2007 were strongly influenced by favorable energy markets and the benefits of rate relief granted to PSE&G in the fourth quarter of 2006. We expect financial performance in 2008 to benefit from continued favorable energy markets. We are maintaining our 2008 operating earnings guidance of $5.60 to $6.10 per share. This forecast represents, at the mid-point, an 8% improvement over record earnings in 2007. On a post split basis, our guidance would obviously be $2.80 to $3.05 per share. Our confidence in 2008 was demonstrated by two recent actions by our Board of Directors: its decision to raise our common stock dividend by 10% in the first quarter, and the declaration of a 2-for-1 stock split for the shareholders. The stock split will be effective on February 5th. The increase in the quarterly common dividend to $0.3225 per share on a post-split basis will be paid to holders on March 10th at the end of the month. The increase in the quarterly dividend brings the full year common dividend rate to a $1.29 per share on a post-split basis. Now we enter 2008 with a continued focus on operational excellence. This focus will encompass our approach to a steam generator replacement plan for Salem Unit 2 this spring. As well as the work associated with the Hope Creek upgrade to be accomplished by mid-year. PSE&G's focus on operating efficiency, at a minimum, helps reassure customers of our desire to provide them with the most cost affective service. This corporate-wide effort on maintaining operational focus will be complemented by an assessment of opportunities for investment, given a greatly improved balance sheet. PSE&G will be working with the New Jersey Board of Public Utilities to define the role it will play in meeting the state's climate change driven energy goals. And PSEG Power is proceeding with efforts to expand its peaking generating fleet as it also explores opportunities to expand its presence in its target markets, either with new or existing assets. Our asset base, market conditions and the focus of our employees will influence our results. We closed out 2007 on a strong note and we are looking forward to the challenges that 2008 will bring. I will turn the call over now to Tom O'Flynn.
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: Thank you, Ralph, and thanks to all joining us this morning. As Ralph said, we are very pleased to report that PSEG recorded fourth quarter operating earnings of $1.09 per share versus $0.54 per share for the fourth quarter of 2007. As you see in slide 9, all businesses posted meaningful improvements in the fourth quarter. The improvement was led by PSEG Power, which reported operating earnings at $0.80 per share compared to $0.40 per share followed by 20% increase in PSE&G's operating earnings to $0.30 a share from $0.25 per share. Energy Holdings reported operating earnings of $0.06 per share compared with an operating loss of a $0.05 a share a year ago. For the full year, Power's earnings were up 83% to $3.73 a share from $2.04 per share. PSE&G's earnings grew by 42% to $1.48 per share from $1.04 per share, and Holdings earnings declined to $0.45 per share from $0.63 per share of a year ago. We provided you with the waterfall charts on slide 11 and 12 taking you through the net changes in the year-over-year operating earnings by major business for both the quarter and the full year, respectively. I will now go through each company in detail. As I mentioned, Power reported operating earnings for the fourth quarter of $0.80 per share for the quarter compared with $0.40 per share of a year ago. This improvement in earnings was driven by re-contracting into a stronger market. The quarter benefited from an increase in pricing under the February 2007 BGS contract that was effective on June 1st of 2007. Increased pricing on other contracting of our generation output as well as the introduction of PJM's reliability pricing model or RPM. We have also seen an expansion into the market heat rate, which benefited from the performance of our combined cycle cash generating units. These items all totaled to $0.32 a share. Higher pricing more than offset a decline in volume from the nuclear fleet for the quarter. A 33 day refueling outage, that powers a 100% owned Hope Creek facility reduced the nuclear fleet capacity factor for the quarter to 83.6% versus 95.9% a year ago, resulting in a full year of capacity factor of 91.4%, only slightly below our forecast capacity factor of the year, which was 92%. Higher prices for generation and a control on expenses led to a 34% improvement in Power's operating margins for the quarter to $51 per megawatt hour and $38 per megawatt hour. For the full year, numbers are similar; Power's margins expanded 32% to $50 per megawatt hour from $38 per megawatt hour. A positive sign of tighter markets has been an expansion in the market's heat rate. This has lead to improved utilization of our combined cycle fleet. The slide on page 17 provides the breakdown of production by fuel for the quarter and the year. Utilization of our peaking and combined cycle fleet has responded to the market's pricing signals. We expect to see results from the January 2008 auction of capacity under PJM's reliability pricing model later today. The introduction of pricing on capacity has had a positive influence on the market. Forced outage rates have decline, retirements of older facilities had been delayed and more DSM, or Demand Side Management, is being bid into the market. We also learned later today, if the bid we submitted for new capacity at an existing site to start commercial operations in June 2010 cleared in this January auction. We plan to participate in the upcoming May auction for the 2011, 2012 delivery year. As we are in midst of finalizing analysis associated with adding up to 300- to 400 megawatts of new peaking capacity into our system for total cost of approximately 250 million to 350 million. The fourth quarter also benefited from higher BGSS margins, and improvement in commodity pricing supported BGSS sales and margins. For the quarter, earnings in the BGSS contract added $0.06 per share to earnings. Now, moving onto PSE&G; PSE&G reported operating earnings for the fourth quarter of $0.30 per share compared with $0.25 per share from a year ago. The improvement in results was driven by a number of factors. Higher gas and electric margins associated with the rate settlement implemented in November 2006 added $0.04 per share to the year-over-year improvement. PSE&G's results also benefited from return to more normal weather versus warmer than normal conditions experienced during 2006's fourth quarter this added $0.06 per share to earnings. Activity on a number of constructive regulatory fronts picked up in the fourth quarter. We continue to invest in systems to improve operating efficiency and explore the most cost effective meanings of reducing carbon. In December, we unveiled new carbon abatement programs designed to help our customers save energy, reduce their bills, and in the process reduce greenhouse gas emissions. Also in December, we announced plans to deploy and test the advanced metering infrastructure technologies, easier said, AMI. We are helpful of hearing shortly from the New Jersey Board of Public Utilities on the 100 million solar initiative filed in April, 2007. The results of these initiatives will help perform the direction of future programs and investments. PSE&G also filed a request with the FERC to include in rate base construction work-in-progress on its planned $600 million to $650 million investments in the 500KV Susquehanna to Roseland transmission line. As part of its request, PSE&G is seeking incentives in its authorized return equity for the projects. Spending on this line will begin in earnest during 2009 with a projected in-service date of 2012. Now turning to PSEG Energy Holdings; Holdings reported operating earnings of 15 million, $0.06 per share versus an operating loss of 14 million or $0.05 per share during the fourth quarter of 2006. Results for the fourth quarter were largely influenced by a decline in spark spreads, and recognition of mark-to-market gain of the $8 million associated with the long-term contract held by Global's Texas generating assets versus the $15 million mark-to-market loss booked in the 2006 fourth quarter. This reversal improved reported earnings by $0.06 per share while those results also benefited from a decline in O&M expenses at Texas of a $0.01 a share. The operating income from resources declined $0.01 per share in the fourth quarter. This primarily reflects an increase in tax expense and some other items, which offset lower financing costs. Holdings had a busy quarter from a transactional standpoint. Holdings sold its interest in electro and diesel [ph] for $284 million, $220 million after tax. Also closed on the sale of its interest in Chilquinta and Luz del Sur in December for $685 million or $490 after tax. We also hired Credit Suisse to advise us on the sales of SAESA. As a result SAESA's operations have been classified as discontinued operations. The proceeds from these asset sales allowed Holdings to announce an early redemption of 400 million of 10% notes scheduled to mature in 2009. And to make 100 million deposit with the IRS. Again certain tested tax liabilities to mitigate the accrual of deficiency interest. Holdings was also able to provide Enterprise with a dividend of $210 million. Holdings has substantially restructured its balance sheet. Following the January 2008 redemptions of 400 million of 10% debt maturing in 2009 and payment of the February 2008 maturity of $207 million of eight-and-five-eight senior notes, the only issue of debt securities that Holdings will have outstanding is $530 million of 8.5% senior notes due in 2011. With a reduction in the number of holders of Energy Holding securities following all these redemptions, we have filed a notice under the Securities and Exchange Act of 1934 of our intention to terminate Holdings' registration and financial reporting requirements. We do, however, plan to post regular financial reports for Energy Holdings including annual audited financial statements to our website and to maintain credit ratings with no plans to change Energy Holdings credit profile. Also all the information related to Holdings that is material to PSEG will be disclosed as part of PSEG's quarterly and annual reports on Form 10-Q and 10-K. Couple of comments on Enterprise; subsidiary companies provided Enterprise with dividends of $560 million in the fourth quarter. This distribution coupled with cash on hand supported the reduction in debt at the Enterprise level of $709 million during the fourth quarter bringing the total reduction for the year to approximately $1.1 billion. We are, as Ralph indicated, maintaining our 2008 operating earnings guidance of $5.60 to $6.10 per share. On a post-split basis, this would be $2.80 to $3.05 per share. Our guidance for '08 represents an 8% increase in 2007's operating earnings using the midpoint of the range. PSEG Power will be the primary driver of expecting improvement in earnings. A full year higher prices from the February 2007 BGS option, re-pricing of the 2005 contract in the upcoming BGS option, and a full year capacity pricing represent the support behind these improvements. Our results will also benefit from a decline of financing cost at the Enterprise level. The strength in these areas will more than offset the potential for a nominal decline of the operating earnings of PSEG and a loss of operating earnings at Holdings. The sale assets are global as well the normal decline in the earnings profile of resources. The operating earnings picture at Holdings reflects the absence of earnings from SAESA for the full as it is being reported as discontinued operations without the benefit of return on cash proceeds and the potential sale of SAESA for most of the year. The improvement in our balance sheet, the strength of our cash flow and our outlook for 2008 all provided support to the Board's recent decision to raise the common dividend by 10% to an indicated annual rate of $2.58 per share or $1.29 on a post-split basis. The new dividend rate represents a 44% payout ratio for a forecast of 2008 operating earnings. It's in the middle of the range of 40% to 50% for dividend payoff, which provides the flexibility for growth and investment. Lastly, we hope that you all will be able to join us in New York on March 20th; when like last year, we will make a full half day presentation to the financial community addressing operations, our outlook and a number of other issues. At this point, Ralph and I are now ready for any questions.
Kathleen A. Lally - Vice President, Investor Relations: Operator, can you queue up the questions?
Operator: Thank you.
Kathleen A. Lally - Vice President, Investor Relations: Thank you. Question And Answer
Operator: [Operator Instructions] The first question is from Ashar Khan of SAC Capital. Please proceed with your question.
Ashar Khan - SAC Capital: Good morning, congratulations. Tom, I just wanted to... if I go to the income statement, which is attachment five; the operating income of PEG Power is 1680 and if I add the depreciation that... for $140 million, I get to 1820 EBITDA. And I wanted to make sure if I am doing apples-to-apples that $2.6 billion EBITDA, which was the high open EBITDA that you have mentioned at the EEI presentation. Is that a comparable number with the 1820 EBITDA that was reported for the year 2007?
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: Yes, Ashar. Good morning and that's all correct. The EEI in the fall, we had an open EBITDA, I think it was $2.4 billion to $2.6 billion, so you are using the high end of that range of $2.6 billion, but that's $2.4 billion to $2.6 billion apples-to-apples. And at the time I believe we didn't... I believe we said that we thought that our '07 number would be about $1.8 billion. So your math of $1.82 billion is exactly correct.
Ashar Khan - SAC Capital: Okay. And then if I can end up as a follow-up question; you mentioned that the BGS margins would probably decline to a normal level. What is the normal level?
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: No, I am sorry, BGSS.
Ashar Khan - SAC Capital: Yeah, BGSS, sorry...
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: It's probably a few cents lower than that.
Ashar Khan - SAC Capital: Okay. Thank you.
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: Something between '06 and '07.
Ashar Khan - SAC Capital: Rounding between '06 and '07. And Tom, just clarification; the open EBITDA assumes the higher output once the scrubbers are put in into the facilities or no.
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: Somewhat, we really don't get those that full impact until 10/11.
Ashar Khan - SAC Capital: Okay. So this is a more than
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: There is a modest amount for that. I think we do assume a normal coal capacity factor. If you saw last year our coal capacity factor was a little bit down relative to '06. We would assume a return to full coal capacity factor, which we can get some way back in '08, but we can't get fully back and beyond until that work is down.
Ashar Khan - SAC Capital: I appreciate. Thank you very much, sir.
Operator: And next question comes from the line of Dan Eggers of Credit Suisse, Please proceed with your question.
Daniel Eggers - Credit Suisse: Good morning. The REGI conversation obviously getting a little more airtime lately; can you just give us some thoughts on how that's going to flow through margins, particularly on the generation has already began tracking at the BGS over the next couple of years?
Ralph Izzo - Chairman, President and Chief Executive Officer: Dan, Good morning, it's Ralph Izzo. I guess we are all expecting January 1, 2009 for the initiation of REGI, and we are not expecting any openers in existing BGS contract. I would think the forward markets are pricing in some expectations for carbon in the area.
Daniel Eggers - Credit Suisse: So the future contracts or I guess, this option is going to embed some level of carbon would be the assumption, but the past settlements that would be a cost for all carbon emissions on for higher sales in the BGS; is that right?
Ralph Izzo - Chairman, President and Chief Executive Officer: What's in the cost, but presumably people... I mean REGI is not... has not been a secret or a surprise to folks...
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: I think, Dan, if you see, if you look out in the PJM curves now to sale 12 with this pretty good visibility. We have seen off-peak prices come up and we have seen a tightening of differentials between peak and off-peak too. I think the primary drivers are maybe some coal crisis, but there maybe some incremental amount for some carbon facing it.
Daniel Eggers - Credit Suisse: Okay, got it. And then on... following up on Ashar's question, BGSS normal environment probably would support a midpoint of your range this year, would be kind of splitting the way beyond the $0.23 increase in BGSS contribution in '07. So, marking it down about $0.12 or something; is that fair?
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: It's something between the '06 and '07 number, yes.
Daniel Eggers - Credit Suisse: Okay, all right. And then, I guess as a last question; with you guys looking at adding capacity into PJM to the RPM process, how do we think about when you are going to make capital allocation decisions, by way of proceeds from asset sales, whether it goes to new investment or share repurchases. Is that going to come probably after the May auction; is that reasonable?
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: That's only a part of it. As we said, we did make a proposal into this current RPM auction, but we will continue to look and would expect to have some expanded views of potential new capacity build in May, we'll see. But I think in general, we feel very good about what we have done in '07 in terms of the cash generation, debt pay down, setting our eyes on credit targets. We have... we, for the most part gotten to our objectives in terms of credit profile and key credit stats. I think that thing said there are still some issues out there. We still got to complete the sale of SAESA. We have to get some broader incremental investment opportunities in front of us. So, we feel like we are on an enviable position from a capital deployment standpoint. And we are thinking through the alternatives. I think when we sit with you in March we'd expect to give you more clarity around some of the levers and our timing for those.
Daniel Eggers - Credit Suisse: Got it. Thank you. Operator: And next question is from Leslie Rich of Columbia Management Advisors. Please proceed with your questions.
Leslie Rich - Columbia Management Advisors: Hi there. Wondered if you could walk through a little bit more detail on slide 17 in terms of your generation output and the mix specific; you commented you're your combined cycle plants are running more and your nukes had an outage. And I'm just wondering what's going on the coal because your capacity factors or total output there has also declined. And I am not sure if that's a reflection of being offline for scrubber installation or if it's the fact that some of those were marginally in it that were priced out in the market or sort of how to think about that?
Ralph Izzo - Chairman, President and Chief Executive Officer: Yeah, Leslie. I would say, I think nuclear we covered, it was, we expect to be 92%, we are at 91.4%, so that was pretty close. And we are at 91% this year, the biggest driver there is the... it's the 15 January sale. I would say the drop from... on the coal side from 14 to 8... to 13 will be a larger drop than we would expect going forward. We had a couple of maintenance and construction issues during 2007 that brought that coal number down. The two notable ones were a backhouse at Bridgeport in Connecticut, that cost an very longer outage to connect that. And then Hudson as part of our extending consent decree the number we did about a year ago in the interim here, as we are building the backend. We are converting to a duller coal the Indonesian coal that we also burned up in Connecticut. So that reduced our capacity factor for some period of time. And we do also need to be mindful of emissions issues here as we do in our back ends. So our expectation, I'd say over the next couple of years before Mercer and Hudson get the back ends hooked up would be something in probably low 14,000 range. So, if you look at the two green boxes on 17, we expect to probably get back about half to thirds of that coal number over the '08, '09 period. And then the gas piece numbers reasonably flat, though from a profitability standpoint, the hours made more money for us, that was really just a result of improved heat rate that I touched on.
Leslie Rich - Columbia Management Advisors: Okay. Great, thank you.
Operator: And next question is from Paul Patterson of Glenrock Associates. Please proceed with your question.
Paul Patterson - Glenrock Associates: Good morning. Can you hear me?
Kathleen A. Lally - Vice President, Investor Relations: Yes Paul.
Paul Patterson - Glenrock Associates: I wanted to ask you a question on attachment 7, the operating cash flow. It looks like it's kind of flattish compared to net income. And I was just wondering is that a working capital thing, just what are some of the larger drivers in that?
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: Yeah, Paul, you hit it spot on, obviously with improved earnings and cash from ops flat, the difference there that is hidden and you will see in our K, it will jump out at you. But there is about almost $450 million of working capital difference between '06 and '07. In other words in '06, we benefited from working capital from about 160-170, and that was in '06. And in '07 we were hurt by working capital, about 280.
Paul Patterson - Glenrock Associates: Okay.
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: So net-net, if you look at cash generated, absent working capital changes, on that attachment looks flat, it is actually up about 450.
Paul Patterson - Glenrock Associates: And so when we think about '08, what should we be thinking about in terms of actual operating cash flow?
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: I think just in general from year-to-year you ought to expect operating cash flow to improve consistent with earnings, that's generally where it is. I'd say the working capital changes, it's a hard to forecast on a year-to-year basis. PSE&G is driven very much by receivables, so to the extend that you've got higher gas prices or higher delivery in the fourth quarter, that just causes receivables balance changes. And then of course Power is driven largely by margining, to the extent longer term prices go up, which is generally good sign for Power that causes margining to be posted, so working capital near term to go down.
Paul Patterson - Glenrock Associates: Okay.
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: So in general the Power is... the views of the business guys with the treasury guys can be opposite direction.
Paul Patterson - Glenrock Associates: Okay, I hear you. And then with respect to the planned addition, there have been a few announcements of 550-megawatts going to NISO [ph] the potentially going to NISO [ph], I guess, and also just I guess there was a local story that you guys building a 138-megawatts for 2010. And of course you made the 300- to 400 megawatt announcement earlier. How should we think about the capacity additions, subtractions, retirements in your area going forward; I mean how do we... is the 138-megawatts part of the 300- to 400 if all may... how does it all sort of work... how should we think about capacity additions and subtractions in all those.
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: Yeah, I'd say, I'll try to take your pieces in reverse order.
Paul Patterson - Glenrock Associates: Okay.
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: The 300 to 400 that we discussed in October, I believe it was, meant to be a general level of new capacity that we expect to bid in the RPM auctions in January and May. The 120, 130, that was picked on the local, and I touched on a little more briefly in the comments. That was part of that, so we do have an existing site, we have number of sites where we did build new peaking ground field capacity from the existing Northern New Jersey zone into the RPM bid. That RPM bid I think is supposed to hit... PJM is supposed to announce the results of that shortly. So we'll see if we cleared or not. Our plan will be, if we clear, we certainly did it, if we don't, we wouldn't expect to, but we would seriously look at the same opportunity again in May. I'll just say on that one piece, the cost... as we look at development of that project, one thing that we've trying to get our arms around is whether there would be any incremental transmission cost; the greatest fairly constraint around here. And it is tough in a quick development process that's necessary for the RPM to get a definitive answer on that. So, we did our bid into this RPM auction did include some risk, if you will, for incremental transmission cost that frankly wouldn't be defined for some period of time from that perhaps.
Paul Patterson - Glenrock Associates: Okay, I guess, from a reserve margin basis, I guess. With some of these moving pieces, what is the outlook assuming that you get the 550 megawatt transfer, what is the outlook for reserve margin that guys are looking at in EMAC, I guess, with all the stuff, with what's happening in transmission and all the stuff? How should we think about that trend? Or just roughly speaking what is... what's your anticipation?
Ralph Izzo - Chairman, President and Chief Executive Officer: Yeah, Paul, that doesn't say, so. The other project that the 50 come... probably over the last few weeks, looking at taking our Bergen station through a line with the partner and potentially supplying that to NISO through our RP that they've got going. That is incremental, that is in a competitive process that NISO has got, and certainly other participants in that. We made it quite clear within PJM and to New Jersey folks that would only be done if we are very comfortable that reliability can be maintained. So in simple, reserve margins around that... those are helpful, but the reliability is more... that was surround that would be more local areas, especially the PS more so.
Paul Patterson - Glenrock Associates: Okay. Thanks guys.
Operator: The next question is from Andrew Levy of Brencourt Advisors. Please proceed with your question.
Andrew Levy - Brencourt Advisors: I am all set guys, but thank you very much.
Ralph Izzo - Chairman, President and Chief Executive Officer: Next question, Andy.
Operator: The next question is from John Kiani of Deutsche Bank. Please proceed with your question.
John Kiani - Deutsche Bank: Good morning, Ralph, Tom.
Ralph Izzo - Chairman, President and Chief Executive Officer: Good morning, John.
John Kiani - Deutsche Bank: Can you talk about the status of classifying some of the new 69 kilowatt construction at PSE&G as FERC transmission?
Ralph Izzo - Chairman, President and Chief Executive Officer: Yeah, we have a filing, John, FERC on that. John, it's seven factor test that we believe we passed. Timeframe for decision on that, I don't have at the tip of my fingers. There is a couple of intravenous who are really more involved from a point of view of making sure that they get the facts and figures back. Last time we had heard anything from the Board of Public Utilities; they had filed intervention, but they were removing that intervention. So, we see a pretty clear field ahead of us on that.
John Kiani - Deutsche Bank: Okay, great. And then as far as capital redeployment and return of capital to shareholders is concerned, can you talk a little bit about how you're weighing options for returning capital to shareholders versus your potential growth acquisitions and how are you looking at that dynamic now that you have got a strong balance sheet and good cash flow?
Ralph Izzo - Chairman, President and Chief Executive Officer: Yeas sure. Tom touched on some of that. We have just some big pieces of the puzzle that will be filled in coming few days. We will hear some results from RPM sometimes this morning. We will have a BGS auction in a couple of weeks. We have just started the SAESA bid process. We are excited, but we don't have a lot information yet on the role we'll be playing in Energy master plan. There are quite... economic headwinds that didn't exist a year ago. So we are putting all that in a mix and talking about on a fairly regular basis and give you lot more color at the March conference.
John Kiani - Deutsche Bank: Okay. Thanks.
Operator: The next question is from Ashar Khan of SAC Capital. Please proceed with your question.
Ashar Khan - SAC Capital: Thanks. Tom, I just want to understand last I had from the EEI slides was that excess cash was $2 billion to $2.5 billion through 2011, and if I read this slide, if I am right, doing apples-to-apples, it's saying $1.5 billion to $2 billion. So there has been a reduction of 500 million or am I missing something?
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: I am sorry, which slide you looking at?
Ashar Khan - SAC Capital: I thought in this presentation, isn't it number 30?
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: I am glad you asked that question and that would be news to us.
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: I mean, I think we generally look at in over five-year timeframe. As we look at over five-year timeframe, it will be $2 billion and $2.5 billion. The adjective is here, Ashar, is not to change that number; we still feeling good about the excess cash as we did, perhaps some
Ashar Khan - SAC Capital: Okay. So could be a typo here.
Thomas M. O'Flynn - Executive Vice President and Chief Financial Officer: We think about planning on a five-year basis, so whatever you're reading that only has four years, but on a five-year basis, we think $2 billion to $2.5 billion
Ashar Khan - SAC Capital: Okay, thank you.
Operator: Mr. Izzo and Mr. O'Flynn, there are no further questions at this time. Please continue with your presentation or closing remarks.
Ralph Izzo - Chairman, President and Chief Executive Officer: Thank you for joining us. We will see you in March
Kathleen A. Lally - Vice President, Investor Relations: Thank you very much.
Operator: Ladies and gentlemen, that does conclude the conference call for today. You may disconnect. And thank you for your participation.